Operator: Hello and welcome to Avangrid’s Fourth Quarter and Full Year 2021 Earnings Conference Call. I would now like to hand over to our host Michelle Hansen, Manager of Investor Relations. Please go ahead.
Michelle Hansen: Thank you, Elliot and good morning to everyone. Thank you for joining us today to discuss Avangrid’s fourth quarter 2021 earnings results. Presenting on the call today are Dennis Arriola, our Chief Executive Officer; Patricia Cosgel, our Chief Financial Officer; and also joining us today will be Bob Kump, Deputy Chief Executive Officer and President of Avangrid; Catherine Stempien, President and Chief Executive Officer of Avangrid Networks; Jose Antonio Miranda, Co-CEO and President Onshore; Bill White, Co-CEO and President Offshore; and Doug Stuver, our outgoing CFO. If you do not have a copy of our press release or presentation for today's call, they are available on our website at www.avangrid.com. During today's call, we will make various forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in Avangrid 's earnings news release and the comments made during this conference call, in the Risk Factors section of the accompanying presentation or in our latest reports and filings with the SEC, each of which can be found on our website. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. I will now turn the call over to Dennis.
Dennis Arriola: Well, thanks Michelle and good morning everyone. We appreciate you joining us for our fourth quarter earnings call. Let's get started with a review of 2021, beginning on slide five. By nearly all accounts, 2021 was a banner year for Avangrid as we successfully demonstrated that by focusing on execution and building a culture of accountability, we could deliver on our operating and financial commitments. In 2021, we finished the year with net income and adjusted net income up 22% and 25%, respectively above our 2020 results. In addition to our strong consolidated financial results, each of our individual business segments delivered as well. At Networks, adjusted net income increased 16% and at Renewables, adjusted net income was up 48%. Even with the impact of our equity issuance in May, Avangrid's adjusted earnings per share rose 8% compared with 2020 to $2.18 per share. Now, this success was mainly driven by our strong operating performance and customer service in Networks, which represents over 80% of our earnings. In Renewables, we delivered in critical growth areas such as offshore wind by completing the financing and then commencing construction for Vineyard Wind 1, our 800 megawatt joint venture. In December, we were selected as a winner for our largest offshore project yet, a 1.2 gigawatt award for Commonwealth Wind. In addition, we advanced construction and continued improvements to our fleet's energetic availability in onshore wind and solar. Additionally, we were able to raise $4 billion in equity at the market price without a discount, which strengthened our balance sheet and helped fund our growth plans as we continue to work to get the final approval for our merger with PNM Resources. I'm also proud that Avangrid is continuing to be recognized by multiple organizations for our ESG&F leadership. So, needless to say, 2021 was a strong foundational year for Avangrid, from which we will continue to build and grow. Turning to slide six, at our last Investor Day in November 2020, We told you that Avangrid was going to focus on the basics and improve on how we served our customers. In that works, we made great progress in 2021, with a record investment of $2.2 billion and an increase in rate base of 9% to $11.7 billion. A major component of our improvement has been our renewed commitment to the customer experience. We've reduced call handle times and expanded services like e-billing to more customers, increased our customer service contact satisfaction to over 90%, and thanks to our customer service teams, we secured over $100 million in government assistance to help support customers in need. In Maine, we turn the corner on our customer service challenges and now under the leadership of our new Central Maine Power CEO, Joe Purington, we're focused on the present and the future, not the past. We're pleased to report that last week, the Maine Public Utilities Commission removed the 100 basis point ROE adjustment imposed on CIP as they recognize the consistent improvements we've made. And moving forward, we're redesigning our overall customer experience and improving our communication channels so that our customers can interact with us in a seamless way. In addition, we've increased our proactive planning for storms using data analytics and increased positioning of crews to respond more effectively when we do get impacted by mother nature. As a result, we reduced the number of customers impacted by outages in 2021 by 22%. Now, we were also supported other utilities across the country in their time in need and our dedication and hard work were recognized by our national trade group, EEI. In 2021, our team in New York continued the work of implementing the rate plans that were approved at the end of 2020. We're starting to see the results not only in improved operations, but also on the bottom-line. New York makes up about half of our rate base and with our focus on our new investments, we started to see the gap and earned ROE improved by approximately 50 basis points, but we still have more work to do. Turning to onshore renewable, our focus on operational excellence and getting back to basics has substantially improved our wind and solar fleet's energetic availability to over 97% in 2021. This focus is what enabled us to successfully meet customer needs during winter storm Uri in Texas last year. In 2021, we also deliver 386 megawatts of new wind and solar projects and currently have approximately one gigawatt of projects in construction. And we continue to enhance the value of our onshore business by executing contracts for 210 megawatts of solar and 39 megawatts of recs. 2021 was truly a monumental year for our offshore business as we became the first company to cross the finish line for permitting a commercial scale offshore wind project and completed the finance. As a result, we're now constructing Vineyard Wind 1, which will become the first major offshore wind project to deliver clean energy to U.S. families. We closed the year on a high note with another win for our Avangrid Renewables team, a 1.2 gigawatt award from Massachusetts for our Commonwealth Wind project, making it both the largest award for us today as well as the largest offshore wind project in New England. And last week, Prysmian Group announced that it will build the first offshore wind manufacturing plant in Massachusetts, bringing hundreds of new jobs to the state and transforming a former coal-powered plant site into a clean energy hub. This was part of Avangrid's proposal for Commonwealth Wind. And we continue to make progress on Park City Wind and Phase 1 of Kitty Hawk with BOEM launching the environmental review process for both projects. Now, we did hit a couple road bumps in 2021 in our PNM merger application approval in New Mexico and with the NECEC referendum in May. However, we remain committed to working toward a successful outcome for both important investments. We've extended our merger agreement with PNM Resources to April 2023 and we filed an appeal with the New Mexico Supreme Court. In Maine, we're challenging last year's unconstitutional referendum. We truly believe that of these efforts that they're a win-win for both -- all of our stakeholders. With PNM, our merger would bring at least $300 million of benefits for the state of New Mexico, while any NECEC would help bring much needed energy cost relief and stability to New England at a time when families are struggling with rising energy prices. Turning to slide seven, I want to spend a couple of minutes on our focus on continuous improvement at Avangrid. In early 2021, we launched our everyday better continuous improvement journey and from the very beginning, we wanted to do this to be -- we wanted it to be about improving and making it easier to do business every day at Avangrid. For these improvements to be sustainable over the long-term, they can't just be driven by senior management and outside consultants. The ideas and changes we've implemented are driven and owned by our employees. This includes a range of opportunities including process improvement, creating capacity in our teams, increasing revenues, and reducing low value activities. And when we do all these things right, we see the results in health and safety, higher employment, employee engagement, increased customer satisfaction, and improved financial results. And we're very proud of what we accomplished through everyday better in year one, we successfully delivered between $40 million and $50 million in value, with approximately $30 million pretax falling to the bottom-line. In addition, new capacity is been created that can be reprioritized to critical activities, we're reinvesting in the business, and we're addressing cost avoidance. In 2022, we expect to see further improvements in how we do business and even more value creation. Let's now turn to our 2022 priorities starting on slide eight. This year, we plan to invest approximately $1.9 billion in our Networks business, basically bread and butter investments to continue improving our operational effectiveness, as well as safety, reliability, and overall resiliency in our system, including our AMI investments in New York. We'll continue to strengthen our relationships with state and federal agencies in 2022 and we have multiple initiatives underway to resolve open regulatory matters. In Renewables, it's all about finding marketspace PPAs with our customers and continuing to build out our portfolio on time and on budget, with a target of about $1.4 billion in investments. In offshore wind, we'll continue constructing Vineyard Wind 1 and hitting our key project milestones, including the start of offshore construction, while advancing the development of Park City Wind, Commonwealth Wind, and Kitty Hawk. We'll remain focused on prudently managing our balance sheet and credit metrics, while actively exploring alternative funding options, including partnerships and asset recycling for investments that may no longer be strategic or maybe more valuable to others in the market. Now, given the continuing supply chain challenges and inflationary pressures, we'll stay focused on our supplier partnerships and leverage the purchasing power and global scale of Iberdrola's procurement group where it makes sense. And we'll continue to push forward our legal challenges to deliver successful resolutions in our PNM Resources merger and the NECEC project in May. In addition, we'll continue to implement our everyday better journey to generate incremental value of at least $30 million in 2022, with approximately $15 million to $20 million pretax expected to fall to the bottom-line. So, make no mistake about it, 2022 continues to be about execution. Now, slide nine provides a high level summary of where we're focusing our $1.9 billion in investments at Networks in 2022. Again, this is really about continuing to make our energy system stronger, safer, and more reliable, while also beginning the rollout of our advanced meter infrastructure in New York. And about 80% of the investments will go to the electric side of the business and just over 20% of gas distribution, and the result will be roughly 8% increase to total rate base by year end to $12.7 billion. In onshore renewables on slide 10, we continue to focus on constructing our roughly one gigawatts in project scheduled for COD this year and in 2023, while mitigating supply chain and inflation pressure. With product availability impacting the entire country as well as our sector, we're managing supply chain challenges as effectively as possible. Our wind projects are contracted for supply through 2023 and our solar modules are contracted for our projects under construction with CODs in 2022 and 2023. We still however, need to staple this and work with suppliers to ensure the actual availability of the product. That's where we try and leverage Iberdrola's purchasing power to help further manage risk. As for offshore wind priorities on slide 11, we'll continue to focus on building Vineyard Wind 1 and hitting key construction milestones. And as a reminder, basically all the supply chain elements have been contracted for Vineyard Wind 1 and the labor costs for the project are either fixed forecast. Development of our other major projects continues to go forward and we expect to have the Commonwealth Wind PPAs completed by the end of the second quarter in 2022. We believe strongly that our affiliation with Iberdrola is competitive advantage in the U.S. offshore wind business and we plan to continue leveraging their experience and resources as appropriate. Now, turning to slide 12, I want to focus on the value creation that takes place in the offshore wind development lifecycle. Now that we've closed our strategic offshore wind restructuring and I'll speak to that in a little bit more detail on the next slide, we now directly control 4.9 gigawatts of offshore wind potential along the East Coast. This includes 2.4 gigawatts of projects in New England, of which 1.2 gigawatts is fully contracted and another 1.2 gigawatts is in the contract negotiation process, and also 2.5 gigawatts from our Kittyhawk lease area in North Carolina and Virginia. Now, this control allows us to more easily deliver incremental value and future growth and to fully capture the value of our offshore wind investment. This economic value will be realized over the life of the assets, but may also be realized in part as we determine the optimal financing structure for these investments, including partnerships, which could then generate additional gains to those we are recording in Q1 2022. You can see the development timeline here which starts with the acquisition of the lease area. This is one of our competitive advantages. By being an early mover in offshore, we have lease areas which are undervalued based upon current market prices. We then move through permitting, continue with financial closing, construction, and end with COD. Advancing through the development process, reduces uncertainty and increases portfolio value. As you may -- as you move to the right, it not only reduces the project risks and increases the value, but it also makes it easier for new potential partners to participate in our deals. There are various potential partners that don't want, for example, PPA or permitting risk, but they're able to pay a higher valuation premium for a piece of a project once those development steps have been completed. Now, that we slowly own and control 4.5 gigawatts of our total 4.9 gigawatts offshore portfolio, Avangrid controls its own destiny in terms of when we bring in partners to monetize our projects and reduce capital requirements. I don't believe that this optionality and incremental value is fully appreciated by the market and reflected in our stock price, and we need to do a better job of explaining it. However, the restructuring agreement and resulting gain in 2022 clearly demonstrates part of this value. And speaking of value creation, let's turn to slide 13 and spend a couple minutes on our recently restructured joint venture agreement with CIP. As a result of a restructuring agreement, which closed in January 2022, we're now the sole owner of 1,232 megawatt Commonwealth Wind and 840 megawatt Park City Wind project in Massachusetts and Connecticut respectively. We continue to maintain a 50% interest in the 800 megawatt Vineyard Wind 1 project under construction. This strategic restructuring increases Avangrid's offshore wind pipeline to 2.4 gigawatts in New England, making us the largest offshore wind supplier in New England. And to help understand the value of leased areas, we made a net payment of $168 million to acquire 100% of leased area 534, which contains Park City Wind and Commonwealth Wind. And in exchange CIP, our partners, took full ownership of lease area 522, the eastern most offshore wind area. As a point of comparison, our lease areas for our Vineyard Wind 1, Park City, and Commonwealth projects were acquired in auction for below $1 million. And based on current market prices of offshore lease areas, they are currently valued in the hundreds of millions of dollars and that's before we continue to develop the portfolio and further increase its value. This strategic transaction allows Avangrid to generate a gain of about $175 million, which will record in Q1 of 2020. This gain is associated with the value generation from the transaction considering the excess of the net present value of the future cash flows versus our recorded book value of the lease areas in their current stage of development, which will be recognized here in 2022. So, in essence, this gain in Q1 represents the incremental value of future cash flows related to our initial reinvestment and the synergies of full control and joint development of Park City Wind and Commonwealth. This unlocked future optionality demonstrates additional value in our total offshore portfolio that's going to be realized in real cash flows and real EBITDA overtime. We'll provide additional detail of our offshore business at our Investor Day, so you can get a better understanding of the significant value of these assets and their recurring impact to our P&L in the future. Now, sustainability is truly a part of our DNA at Avangrid. It's how we operate our business and we're fully committed to our ESG&F strategy as core to our long-term value proposition and our investment decisions. And slide 14 provides a little of our bragging rights when it comes to ESG&F. 2022 marks Avangrid's second consecutive year on the annual JUST 100 list, where we increased our overall ranking by 25 places to number 48. And we continue to be a top performer among industry peers, placing four out of 38 utility companies. We were also named one of the World's Most Ethical Companies by Ethisphere for the third year in a row, and our commitment to health and safety every day, and particularly through the COVID-19 pandemic made Avangrid the first energy company to earn the well health and safety rating. In addition, S&P highlighted Avangrid as a world leader in sustainability. Now, we'll spend more time on this area during Investor Day, but ESG&F is integral to our overall strategy. Now, before we go on to the financial results for 2021 in more detail, I think it's important to recognize that the makeup of Avangrid's Executive leadership team has really evolved over the last 18 months. And with that, I want to thank Doug Stuver for his steady leadership as CFO over the last four years and wish him all the best in his new role in Pittsburgh with the Steelers organization. So, congratulations Doug and Go Steelers, except when you guys play my LA Rams. Today is Doug's last day with the company and I'm proud to see him here, but I'm also pleased that we have appointed Patricia Cosgel as Avangrid's interim CFO. And all of you know Patricia well. She joined you UIL Holdings over 10 years ago and has served in various roles including IR, Treasury, Corporate Finance, Retirement Benefits, Investment Management, and Insurance Risk Management since then, it's a long resume. I'm confident that we won't skip a beat with Patricia leading our finance team. So, please help me congratulate Patricia on her new role. And with that, let's put her to work to discuss our financial results and 2022 outlook. Patricia?
Patricia Cosgel: Thank you, Dennis and good morning, everyone. Turning to our financial performance, Avangrid reported strong consolidated financial results for 2021. We produce adjusted net income of $780 million for the year, a 25% increase from our full year 2020 results. Additionally, embedded in the consolidated results are O&M cost mitigation efforts from our everyday better journey, which resulted in O&M as a percentage of revenue that slightly declined in 2021, helping to mitigate the impact of inflation on our business. While our quarterly results were lower year-over-year, we remind you that in the fourth quarter of 2020, we recorded approximately $68 million or $0.22 for the implementation of our New York rate plan, which included a MAKO [ph] that's April 17 2020. This is a very important rate settlement for us as New York represents approximately half of our rate base, and we were able to enhance our ability to mitigate storm outages and restoration costs with the key measures approved as far as these plans. Now Networks, our largest business segment, led a strong consolidated performance for the year with adjusted net income increasing 16% in 2021. Networks' adjusted net income also improved in the fourth quarter of 2021 compared to the fourth quarter of 2020 by 2%, even with the fourth quarter 2020 MAKO medical benefits. This is largely due to the implementation of our wasteland, primarily at our New York companies, which added $68 million after-tax in 2021. The electric and gas distribution and electric transmission investments in 2021 also positively impacted earnings, adding financial income from [indiscernible] of $18 million after-tax offset by depreciation from new assets placed in service. Importantly, these investments enhance safety, reliability, and resiliency, and further support our customers and community. Renewables adjusted net income for the full year 2021 was 48% higher than for 2020. Our strong operating performance during the Texas weather events, which enabled us to deliver more energy than our firm commitments contributed $93 million after-tax to the 2021 results. Production from the addition of new capacity in 2020 and PTC has also added $34 million after-tax results for the full year 2021 compared to 2020 as its solid performance in thermal and asset management and improved pricing, which were $28 million and $22 million higher after-tax in 2021 versus 2020. Moderating the annual and quarterly results for 2021 versus 2020 were lower wind production, ongoing costs related to growing the business, and higher tax. Finally, when looking at the drivers in terms of adjusted EPS, the May 2020 equity issuance, which increased average shares from 309 million for 2020 to 350 million for 2021, had an impact of negative $0.26. Yet, even with that higher amount of shares, we had an 8% improvement in adjusted EPS year-over-year. Moving to the next slide, we deployed new capital to drive growth in our business in 2021 with total investments of $3.3 billion, up 20% over the prior year. In Networks, our $2.2 billion of investments advanced ongoing efforts to enhance and modernize our systems and ensure safe and reliable service by replacing gas pipeline mains and replacing and repairing aging infrastructure. We are also continuing to roll out AMI and enable distributed resources in New York, which was approved as part of our wastelands. As a result of these investments, we are able to grow our rate base in 2021 by 9% to $11.7 billion. In renewables, we invested $1.1 billion as we constructed over one gigawatt of wind and solar assets with PPAs and kick-started the U.S. offshore wind industry with the start of construction for our Vineyard Wind 1 project. In 2021, we also increased our renewables and stock capacity by 4% to 8.2 gigawatts. In renewables, we also saw the value of our investments with the 22% growth in adjusted EBITDA with tax credits for the year. This captures the positive contributions of our assets during the Texas weather event earlier in the year. However, even without this impact from earlier in the year, we had the benefits I mentioned related to new capacity, tax credits, and pricing, which improved adjusted EBITDA with tax credits by 12% in the fourth quarter of 2021 compared to the fourth quarter of 2020. Moving on to our financing activities in 2021. Our successful sustainable financing program and equity issuance in 2021 provided approximately $7 billion in funding including the unconsolidated Vineyard Wind project financing, and resulted in ample liquidity and improved credit metrics, positioning us strongly for the execution of our future growth. We have an ongoing financing program that focuses on sustainable funding sources. We were proud in 2021 to be awarded the Global ESG Deal of the Year by Project Finance International for the $2.3 billion financing for Vineyard Wind 1, the inaugural offshore wind financing in the U.S. This key financing achievements highlights the excitement for the banking community for offshore wind in the U.S., with nine global banks completing exhaustive due diligence and signing on to this construction and loan financing. Closing the financing was an important milestone enabling us to issue notice to proceed to our suppliers and start construction last fall. As we previously communicated, we also issued our first green bonds at the utility level this year, totaling $625 million out of the $840 million of bonds we issued. We also refinanced our sustainability-linked credit facility increasing the size from $2.5 million to $3.575 billion. And with a $4 billion equity issuance this past May, we have significant resources to support our approximately $6.6 million of investments covering 2021 and 2022. Issuing this equity at the $51.40 share price last year was no discount to the market also saved us approximately 13 million shares and $24 million in annual dividends at our current dividend level compared to if issued at the closing price on February 18th. The equity proceeds were used to repay borrowings which lowered our borrowing costs and they also strengthened our balance sheet, which we've set to use to fund a PNM acquisition should it incur later this year with incremental debt. With our financing activities in 2021, we ended the year in a strong liquidity position with $1.4 billion of cash. Our credit metrics have also improved with the cash from operations pre working capital to debt metric of 19% at the end of 2021 compared to 12.6% at the end of 2020. We value our credit ratings and we were pleased that Moody's recently affirmed the NPS rating of A2 and a stable outlook, and affirmed United Illuminating's rating of the Baa1, increasing its outlook to positive. We also highlight that the Board approved a quarterly dividend of $0.44 per share at February 16th Board meeting, payable on April 1st to shareholders of record as of March 1st. Moving on to the next slide, we're pleased with our continued strong results this year, a reflection of our commitment to ongoing execution, which we are continuing from the prior year. We are providing our outlook ranges for 2022 of net income and adjusted net income of $850 million to $920 million and EPS and adjusted EPS of $2.20 to $2.38 per share. On an adjusted net income basis, the midpoint of our outlook for 2022 represents a 13% increase from 2021, which actually notice was a 25% increase from 2020, providing a 19% CAGR to the two-year period. The adjusted EPS outlook which reflects the share issuance in May of 2020 is a 5% increase at the midpoint of $2.29 from 2021 and a 6.5% CAGR from 2020. On the next slide, we show the key drivers of our 2022 long-term outlook. Note that the 2021 EPS figures includes the annualized amount of shares, reflecting the May 2021 share issuance and we do not have any additional shares included in our 2022 outlook, so that the $387 million for 2022 reflects the full amount of outstanding shares for the year. As we manage our businesses to add value and support future growth, we restructured our offshore wind release areas as Dennis has noted, resulting in a gain that reflects the current market value of our own leased areas, which is based on the expected future cash flows of the project. As required by accounting standard, due to the change in controls from the restructuring, the after-tax gain of approximately $175 million will be recognized in 2022 and depreciated over 25 years. It represents real earnings to the company that were required to recognize now and that replaces future earnings, as earnings from the revalued portions of the lease areas will be lower in future periods due to greater depreciation from the stepped up assets. In 2022, we will also have incremental revenues from our New York wasteland. Additional production from renewable projects placed in service in 2021 and 2022, including PTC. The trend and market pricing for renewables has been increasing and we expect additional savings opportunities from our everyday better journey. These incremental positive drivers, we expect to offset the absence of the storm Uri benefit in 2021 and costs related to the growing the business. Additionally, construction on the NECEC transmission project has been suspended, pending our appeals referendum in Maine, so we are not including ACDC for the project in our outlook. And you are aware that our merger with PNM Resources did not close at the end of 2021, so we are also not including any earnings for that transaction in our 2022 outlook. Overall, we continue to get stronger and grow the earnings of the company, even while the PNM and NECEC contributions that have shifted out of our 2022 outlook and even with the equity we issued in 2021. Our ongoing focus remains to execute our investment plans with discipline and continuously drive for excellence in our operations and customer service. And I wanted to summarize, again, highlighting that we had a strong year in 2021 as a result of our focus on the achievement of our financial targets and strategic initiatives. And we have successes with the execution of our financing plan that strengthened our balance sheet and support our future growth. As we noted, 2022, we'll be continuing to focus on execution as we invest an additional $3.3 billion into business that will be the foundation for the generation of future earnings, including with our longer-dated offshore wind investment program. We will efficiently fund our investments, we will continue to pursue successful resolution of our pending PNM merger and NECEC projects, and we will manage supply chains and drive continuous improvement in value creation. Thank you for joining us today with our update on results. We also look forward to talking with you again at our Investor Day on March 22nd, where we will provide an update of our Pfizer Outlook to 2025. At that time, we expect to provide more information updates on our earnings expectations, our annual CapEx plans by business segment and utility, our Networks' rate paced growth, how we are incorporating PNM Resources in NECEC into our expectations, and our financing plans. We will also continue to provide additional information on the value creation of our offshore wind business and our ESG&F initiative. I'll now hand the call back to operator for questions followed by closing remarks from Dennis.
Operator: Thank you. [Operator Instructions] Our first question comes from Angie Storozynski from Seaport Research Partners. Please go ahead.
Angie Storozynski: Thank you. And Patricia congratulations and Doug, we basically vicariously through your career path even with our Big Ben. I mean, that's pretty, pretty impressive.
Doug Stuver: Thank you.
Angie Storozynski: Anyway. Okay, I wanted to talk about the NECEC and the ACDC, so you're no longer booking ACDC from -- basically starting from December, or you are excluding the ACDC that was embedded in 2021 numbers as well, meaning the spikes ongoing efforts to continue with this project, you're not recognizing any earnings stream from related to NECEC?
Dennis Arriola: Yes. Good morning, Angie, this is Dennis. You're correct, when we decided to suspend the construction back in December, we stopped recording any new ACDC going forward. So, we have a slight impact in 2021 at the end of the year, but we have not recorded any in 2022. But all of the AFUDC that was recorded prior to that remained in our 2021 results.
Angie Storozynski: And 2022, right?
Dennis Arriola: No, in 2022, again, we are not reporting any active AFUDC in our income statement because we're not constructing at this point in time. For NECEC, that's correct.
Angie Storozynski: Okay. I understand, Then secondly, could you comment about what your expectations of CapEx, offshore wind CapEx are especially in like dollars per KW. I remember that you use the quote around $3,900 per KW, which was supposed to be an all-in cost. Can you give us a sense where that estimate is now?
Dennis Arriola : Sure. We haven't really given any further updates. I think, as we've said on our previous call, I think it's important to recognize that for Vineyard Wind, we have substantially all of the contracts have been entered into. And in the case of labor, we either have those labor costs fixed or with cash. So we don't see that really moving around very much. So for Vineyard Wind, we're looking at a total project cost still around $4 billion. And as far as for Park City and for Commonwealth, we haven't finished obviously, actually, we haven't gone into the major part of the overall procurement. But we were -- we've been targeting about $4,000 per kilowatt.
Angie Storozynski: Okay. And then moving on to Maine. It's really great to see that the ROE penalty has been lifted. But there's this regulatory review that the commission started. And I just wonder what type of financial implications this could have on that CMP?
Dennis Arriola : Sure. Let me start off and allow Catherine to jump in as well. But I think as you said, that we're really pleased that the commission last week recognized, I think, the extraordinary work by our team in Maine to focus on customer service, and not just the one month but consistently. And I think, as I said, the team under Joe's leadership is really focused on the present and the past half -- the present and the future, and not on the past. Now, this issue here, we're actually -- it's that's something that we're really concerned about, because we think that we're open to comments by the commission and things that we can be doing better. But Catherine, maybe you want to provide a little bit more color on what we expect.
Catherine Stempien : Sure. Thanks, Dennis. And hi, Angie. A little bit of context on what's going on in Maine. You may recall that we had a management audit that we were undergoing under a summary investigation that dates back to the previous customer care issues that Dennis had mentioned, but that we're now very confident that we have resolved. As part of that proceeding, CMP filed a performance improvement plan with the commission. And as part of that, we agreed to continue to keep the commission informed of all of our progress, both in terms of customer service progress, but also in terms of the changes that we're making with management and in working with our customers and our communities and our stakeholders in Maine. The summary investigation process that the commission started, does not procedurally allow for that kind of a continued open docket and update with the commission. And so in addition to our ability to continue to update them, they had a couple of additional questions with respect to our capital planning and budgeting process. So that's why they opened up this additional investigation. It's really just to have that follow-up on those couple of opening questions, and allow us the ability to continue to update them on our progress. We feel very confident that this is part of our strategy on improving our regulatory relationships and our stakeholder relationships in Maine. And we'll continue to look forward to work with the PUC in order to answer any remaining questions that they have, and continue to show our improvement in our service and our customer quality in Maine.
Angie Storozynski: Very good. Thank you.
Dennis Arriola : Thanks, Angie.
Operator: We now turn to Richard Sunderland from JPMorgan. Your line is open.
Dennis Arriola : Good morning, Richard.
Richard Sunderland : Good morning. Thanks for the time today. Maybe just starting with the offshore gains. I want to unpack that a little bit. If I'm following the commentary correctly, the earnings you're recognizing this year is then -- is somewhat offset later with the higher depreciation or if I'm following this correctly, there's a timing element at play here. Just want to confirm that dynamic, meaning, that the higher depreciation ultimately lands in operating results, and not something adjusted out in the future. Could you just walk through those parts for me?
Dennis Arriola : Yes. Now, you're looking at it the right way. Basically, we're required by accounting regulations to look at as a result of the change in control of what's the future cash flows are going to be related to our initial investment in Park City Wind and Commonwealth. And so we're -- we worked with an outside group that helped validate what those cash flows would be relative to the current market conditions and expected market conditions. And as a result, we're basically taking the net present value of those earnings here in 2022. And as you said, we will continue to basically amortize the depreciation in the future. So you'll see a reduction in net income related to what we're booking here in 2022. But you will see the corresponding EBITDA in those years, so and the cash flow, obviously. And so when you think about what we're booking, it truly represents the value that we're going to -- and cash flow that we're going to be getting in the future.
Richard Sunderland : Understood. That was helpful too. So just to be clear on the quoted sort of EBITDA and cash flow point, the value here is essentially non-cash. But then going forward, you'll see the EBITDA and cash flow is associated with this.
Dennis Arriola : Yes. I guess the way that I think about it, Richard, is it represents the economic value of the true cash value that it's going to be received in the future.
Richard Sunderland : Understood. That's helpful. And then maybe just circling back to 2022 and blocking on a net income basis from 2021. I know there are several moving parts here with the Uri contribution, the offshore gain in 2022 and then I guess NECEC as well, but it looks like kind of on net of these factors. Net income looks to be a little flattish year-over-year, maybe in consideration of NECEC, obviously, some other positives with CMP penalty and your rate plans. Could you just walk through the drivers maybe on the cost side as well that are guiding that and anything you'd call out that that we made out appreciating their on the shape of net income growth specifically?
Dennis Arriola : Sure. I think when you look at it, you touched on the major ones, but obviously from 2021 to our forecast for 2022 on the positive side, you've got continued improvement from the New York rate case. You talked about the CMP the 100 basis points, so that's obviously a positive. We do have increased depreciation and operating expenses in on the network side of the business. And obviously, you've got the loss of the AF-PDC going forward that won't be included in 2022. And there are some finance costs related to debt. When you look at the renewable side of the business, you touched on the Texas. Now what I'd say about the Texas is, even though we don't expect that to replicate here in 2022, the importance of having our turbines ready or solar panels ready to take advantage of market opportunities when demand is high, and prices are volatile, is that is something that really does help differentiate us and make -- and we've got to make sure that when those opportunities do come out, like they did last year that we take advantage of them. The other pieces that add to what's going on, obviously, are the new build that we've added, the capacity in renewables, wind output as a related to that. And basically, we do -- it's offset slightly by financial -- the financing costs as well related to the business that are allocated there. But those are the major ones. And obviously, from a EPS standpoint, you've got the additional shares.
Richard Sunderland : So, again, speaking of net income what's flattening out the growth in the 2022, then when you have 8%, rate base growth in the backdrop here?
Dennis Arriola : You get depreciation that's adding to that the operating costs that are being added to in networks as well. Those are the primary ones.
Richard Sunderland : Understood. Thanks for the color.
Dennis Arriola : Okay. Thanks, Richard.
Operator: Our next question comes from David Arcaro from Morgan Stanley. Your line is open.
Dennis Arriola: Good morning, David.
David Arcaro: Good morning. Thanks for taking my question. Good morning. Could you maybe comment on how much of the supply chain for Park City is contracted at this point? What are your kind of assumptions there for any inflation that could hit the cost structure for that project? And then maybe a little bit more broadly, what's your view on the return profile of the offshore wind project here?
Dennis Arriola: Yes. David, what I would tell you that is at this point in time in Park City, literally very little, if any materially has been contracted at this point. We're still going through obviously, the permitting approvals and everything. We've obviously had discussions with some of the major supplier companies, but at this point in time, it doesn't make a lot of sense to enter into it until we get the final or get closer to getting the final approvals. What I think is going to be helpful to us having said that, is now that Commonwealth is there, when we do start bidding out for whether it's turbines or other things, we're going to have additional scale that and obviously leveraging off of Iberdrola's expertise and their buying power as well. We're going to have additional scale and purchasing power that we wouldn't have had if it would have just been Park City. So I think there's no doubt that that, in some cases, we're seeing some inflationary pressures and some supply constraints. But fortunately, we don't need to be going into contract for those things right now, because the construction isn't going to happen for several years. The other thing that I would say is that we did see this and we're benefiting from it for Vineyard Wind 1. As time goes on, similar to what happened in the solar and the onshore wind industry, technology continues to innovate, turbines get bigger, costs come down, when you look at the overall cost per kilowatt produced, and so we're -- our plans are to be able to take advantage of that as well.
David Arcaro: Got it. That makes sense. And maybe, could you talk about a little bit just about your internal offshore wind capabilities here taking on 100% of the projects from CIP, whether functions or capabilities that you needed to backfill without CIP there or what is the internal organization standard?
Dennis Arriola: It's a great question because we had been adding certain people, both to the team directly and being complimented by Iberdrola. So we still have people that are part of the joint venture with CIP, but I'd say it's much more of a project joint venture than it is business growth joint venture Alvaro Ortega, who's our new Vice President of Finance was formerly the CFO of the joint venture. And he's now joined Avangrid here. So they're various people that we're basically shifting from the project came back to our team that will focus on our business 100% of their time. And we are in the process of hiring. I think that with the addition of -- and the additional work that we'll have there on the permitting and the approval side, we're naturally still in spots. So in some cases, we're taking people that are already within the Avangrid family of companies or Iberdrola and shifting them over. But in other cases, we're bringing on new people that want to be part of this team.
David Arcaro: Okay, great. That's helpful. Thanks so much.
Dennis Arriola: Thanks.
Operator: Our next question comes from Julien Dumoulin-Smith from Bank of America. Please go ahead.
Dennis Arriola: Julian, good morning.
Julien Dumoulin-Smith: Hey, good morning, team. Hey, thanks for the time. And Patricia. Congratulations. Really well deserved. I got to say.
Patricia Cosgel: Thank you.
Julien Dumoulin-Smith: And, Doug, best of luck to you as well here, sir.
Doug Stuver: Thank you.
Julien Dumoulin-Smith: So if I can, I want to take the conversation to a slightly different direction and just talk about renewable growth aspirations here. As you think about 2022, we've heard a lot from other tier companies out there. I'm just curious how you guys thinking about framing your growth aspirations here and 2020? You just in terms of kind of bucketing PPA signups, right. I'm not saying construction this year. But how you framing that pipeline? We saw, obviously some shifts in what you saw your pipeline is being presently? What do you target? What are you looking at it just in the near term?
Dennis Arriola: Yes, let me start on that, Julian, and I'll ask Jose Antonio to jump in as well. Recognizing that at our Investor Day, we're going to go into a lot more detail here. But I think directionally what we're looking at is the same direction that we talked about in November 2020 at our Investor Day there. I think recognizing that the markets change, obviously, with inflationary pressures and what's going on in the electric markets, PPA prices have been going up. And I'd say that we've been working very closely with our customers to help them get up to speed on what the new realities of the market are. And we're in the process, in many cases of revisiting some of the fire discussions we've had with customers. And I think that there again, is the realization that it's a different market than it was a year or two years ago. Having said that, like we're focused on signing attractive PPAs, that makes sense for us and for our customers. We don't want to just grow PPAs and add capacity at any cost, we're going to continue to stay disciplined and focus and make sure that we're providing smart energy solutions for our customers, whether they be utilities or CNI customers. But Jose Antonio, maybe I'll let you add a little bit more color to that.
Jose Antonio: Thank you, Dennis. Any hi, Julian. I think you ought to split up on the news. Yes, hopefully, it's true that we are in a very advanced stage of conversations with many customers for our project. And it's also true that we have our internal approval process. And we are not just bringing megawatts by the sake of being megawatts, we want to bring profitable megawatts. And I have to say that the customers they received graciously our talk about the volatility in the supply chain and the need for renegotiating some PPA prices. And this is the process that we are undergoing now. And again, we remain very positive and close in PPAs.
Dennis Arriola: The other thing, Julian, that I say is one of the reasons we have ranges and our guidance is because things can move positive or negatively. And I'm less focused on a project moving by a month or two versus making sure that we do it right. It's on top. It's on budget, and we provide the customer what they need. So, there's no doubt that with everything going on in the economy with challenges in the labor markets relative to COVID. We like others have had some challenges there. But overall, I still feel really good about the direction that we're going on sure.
Julien Dumoulin-Smith: Excellent. I mean, can we talk about profitability on the offshore side, I know one of your peers has talked about it of late, I just wanted to check in on how you guys are framing that today, right? Admittedly, you all have talked about this in the past, but given some of the updates across the sector, how would you frame that for Vineyard Wind Park City what returns on equity or IRRs specifically are you guys projecting presently and against significantly if there's anything in the add on the cost front that gives you confident? Again, I just say this is in the context of your peers more than you all updating anything specifically here obviously?
Dennis Arriola: I want to be careful that we're not comparing one project that we have with another project that a competitor has, because I think it's really apples and oranges. And every project is different, depending upon the size, where it is positioned in the ocean with the depth of the water and everything. So I just want to make sure that we're careful on that. What I would say, and I'll ask Bill White to jump in as well, is that, again, on Vineyard Wind, as we look at the overall contracts that we've signed, we're still very comfortable on the overall cost side. And what we've said before, and there's no reason to believe that this has changed is that on a levered basis, we're still looking at a low double-digit type return there. But Bill, you may want to just talk a little bit more about, how we're thinking about Park City, wind and Commonwealth. And I know that we haven't given up specific profitability numbers on those, but just directionally, Bill?
Bill White: Yes, I think thanks, Dennis, we feel really quite confident. I mean, touching and building a little bit of upon what Dennis had already articulated, being able to build these, these two projects, 2 gigawatts, 800 megawatts in Park City, 1.2 megawatts from Commonwealth, this will probably be among the larger offshore wind projects in the world. So to drive that economy of scale and benefit from those synergies, we're talking in the 10s, and hundreds of millions of dollars in savings, because we're going to build those with one project team, with one procurement strategy, with one deployment port, and we think and feel very good about what we're seeing in the market, particularly from the OEMs as the technology is advancing.
Dennis Arriola: The other thing, Julien, that I think is important to recognize is that, given that we were just awarded Commonwealth back in December, we're actually just in the process right now of having the discussions with the utilities that will be entering into the PPAs with. So it would be premature to start talking about what the returns on those projects are going to be.
Julien Dumoulin-Smith: Got it. All right. Best of luck guys. And again, Patricia, look forward to it. Speak to you guys soon.
Patricia Cosgel : Thank you.
Dennis Arriola: Thank, Julien.
Operator: Our next question comes from Insoo Kim from Goldman Sachs. Please go ahead.
Dennis Arriola: Insoo, good morning.
Insoo Kim: Yes. Thank you. Hey, good morning, Dennis. First question, just wanted to go back to the 2022 EPS guidance a little bit sorry to harp on it. I'm just trying to reverse engineer, just based on I think when PNM was still ongoing and the potential guidance you gave for 2022, I think around $250 million at the midpoint there recognizing this offshore wind amount if you back that out just from an operational perspective of about $0.46 gets you to a little over $1.80 per share for 2022 just operationally. I understand NECEC, the share count dilution, all that and try to back into that a little bit, but still getting to some level of gap. So I guess, my question is, versus 12 months ago, 15 months ago, what are some other items? You mentioned all the costs there but what are all the bigger items that are accounting for the remaining difference?
Dennis Arriola: Let me have Patricia handle that.
Patricia Cosgel: Sure. Hi, Insoo. Actually, rather than go back and kind of tick and tie back to reconcile back to a number we gave before. I mean, a lot has changed since that guidance that was back in November of 2020, and of course, we -- since then we've done an offshore wind restructuring. We have acquired the 1.2 gigawatts of Commonwealth Wind. We actually put in place a negotiated rate settlement in New York and we comprehensively changed some of the things in the way we look at costs and efficiencies in the business. So we'd rather kind of focus on going, trying to answer your question. But I'll focus more on going forward in the business and the fact that starting off, with a really good 2021 and which we said was provided 25% growth from 2020. So focusing on the bigger picture and then the next value creation that, we're adding in 2022, which also provides growth. And Dennis highlighted some of the key items, but at a summary level, we're looking at, in 2022. Moving forward, we're adding benefits from our rate plans in, primarily in New York, you're adding benefits from transmission rates as well and the CMP removal of the rate case, you're adding production on the renewable side that comes with PTCs. We think increases in pricing as well. But you're removing things compared to the prior year AFUDC from NECEC you're removing the Texas event and there's also cost of the business. I think we talked a lot about how we're investing billions of dollars, $3.3 billion in 2021 and $3.3 billion in 2022 that's really setting a foundation for future growth. But improving and enhancing the reliability and the safety and resiliency in our network system and constructing renewable projects that will come in service in 2022 and in 2023 so providing future growth. But a comfort on costs or the business as we move through 2023, we'll have depreciation associated with the new assets in both of those businesses, there is interest costs, there is O&M for new staff as well associated with those businesses. So I think that on the cost side, those are some of the things that are offsetting some of the pure increased numbers.
Insoo Kim: Okay. Got it. Thanks for the color. My second question is just when we -- as we think about the P&M process and the new mix of Supreme Court playing out. What is -- how do we think about the kind of the best case scenario in terms of timing if this ultimately goes in your favor? And while we await that process or the decision, how should we think about the excess cash that you have from that equity issuance, and how we should bake that in? I know, you may be giving more of that color in March, but just wanted to see if you had any color there for now.
Dennis Arriola: Sure. Let me start with the second part of the question then I'll ask Bob to jump in, specifically to PNM. Look, in hindsight, the issuance of the equity back in May at the time, given what was going on in the market, continues to be -- have been a really good decision, I think, on our part. Are we disappointed that PNM shifted given the timing? The answer is yes, but I think when you look at what the cash that we have on hand, the continued growth plans that we have the new projects that we're looking at like the announcement of Commonwealth Wind. We didn't have that in hand when we raised the equity. So I think that there's plenty of uses for the capital that we raised. We reduced the amount of debt, so that obviously helped us from an interest expense standpoint. And our credit rating metrics went up. So I think, all in all, having a stronger balance sheet, having some dry powder, if you would, for a short period of time until we consummate PNM and we get started on the construction of NECEC is a good thing. Let -- Bob, let me let you kind of give an update on how you're thinking about PNM.
Bob Kump: Sure. Good morning, Insoo. How are you?
Insoo Kim: Great.
Bob Kump: So I mean, obviously, we remain, as does PNM absolutely committed to this transaction, and I think that's indicative of the fact that we've reached the merger extension out till the end of April 2023. In terms of the mechanics of the appeal, we filed that early in the year. We just recently issued what's called joint issues at the beginning of the month. There will be a period for brief supplies oral arguments. I mean, typically, this is a 12 plus month process at preprint Mexico. Having said that, we continue to work very closely with PNM, and quite frankly, all the supporters that, we've had to this transaction, recall that 23 out of the 24 parties in the case either supported or were neutral on the project. So we continue to focus on and work with PNM on the benefits that, the transaction can bring to the combined companies, and to consumers in New Mexico, and when you look at some of the issues that are being faced, whether it's in New England or in New Mexico. In New England, we had the ISO to talk about potential for ran out this winter because of a lack of supply. They're talking about that now in New Mexico for this summer and next. We think there's a lot of things we can learn from each other and continue to work and move this forward. Obviously, there's going to be changes this year as the year progresses is going to be a new commission being appointed by the Governor by the first of next year. So there is a lot of pieces of this that continue to move forward. But the bottom line is we along with the folks at PNM are absolutely committed to getting this thing done.
Insoo Kim: Understood. Thank you very much. Best of luck Doug.
Doug Stuver : Thanks, Insoo.
Operator: We've come to the end of our Q&A. I will now hand back to Dennis Arriola for any final remarks.
Dennis Arriola: Well, great. Look with a strong foundational year behind us, I'm really proud that, we're effectively executing on our commitments and delivering consistent performance. 2021 was a really important year for Avangrid for a lot of reasons, and as we've said, it certainly wasn't without challenges. But our successes are due to our people, our wonderful and dedicated team, who have -- they've worked hard to serve our customers, to respond to storms, worked safely through COVID-19 and enabled a clean energy transition. So I want to use part of this presentation to say, thank you to team Avangrid. Your work really continues to make a difference every day. I also want to thank everybody on the call for your questions, and for your overall support in 2021. Again, we're proud of our results, but we recognize there's a lot more work we need to do, and we're focused on being successful in 2022. We look forward to using the momentum of 2021 to deliver another strong year in 2022. And we look forward to sharing more information with you about our strategy and our outlook in 2022 and beyond at our next month's Investor Day. So, thanks again. If you have any other questions, please follow-up with Patricia, who, tomorrow, officially becomes our Interim CFO; or Michelle, and stay safe, and have a great day. Thanks, everyone.
Operator: This concludes today's call. We thank you for joining. You may now disconnect your lines.